Operator: Good day, ladies and gentlemen, and welcome to The Cooper Companies, Inc. Fourth Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to Kim Duncan, VP of Investor Relations. You may begin.
Kim Duncan: Good afternoon. And welcome to The Cooper Companies’ fourth quarter and full year 2015 earnings conference call. I’m Kim Duncan, Vice President of Investor Relations. And joining me on today’s call are Bob Weiss, Chief Executive Officer; Greg Matz, Chief Financial Officer; and Al White, Chief Strategy Officer. Before we get started, I’d like to remind you that this conference call contains forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995, including all revenue and earnings per share guidance and other statements regarding anticipated results of operations, market or regulatory conditions, and integration of any acquisitions or their failure to achieve anticipated benefits. Forward-looking statements depend on assumptions, data or methods that may be incorrect or imprecise and are subject to risk and uncertainties. Events that could cause our actual results and future actions of the company to differ materially from those described in the forward-looking statements are set forth under the caption Forward-Looking Statements in today’s earnings release and are described in our SEC filings, including the business section of Coopers Annual Report on Form 10-K. These are publicly available and on request from the company’s Investor Relations department. Now, before I turn the call over to Bob, let me comment on the agenda for the call. Bob will begin by providing highlights on the quarter, followed by Greg who will then discuss the fourth quarter and full year financial results. We will keep the formal presentation to roughly 30 minutes, and then open up the call for questions. We expect the call to last approximately one hour. We request that anyone asking questions, please limit yourself to one question. Should you have any additional questions, please call our investor line at 925-460-3663 or email ir@cooperco.com. As a reminder, this call is being webcast and a copy of the earnings release is available through the Investor Relations section of The Cooper Companies’ website. And with that, I’ll turn the call over to Bob for his opening remarks.
Bob Weiss: Thank you, Kim, and good afternoon, everyone. Welcome to the 2015 fiscal fourth quarter and full year conference call. For the full year we reported record revenue and non-GAAP earnings per share. We delivered on our objectives to gain share in the $7.3 billion contact lens industry and we delivered on our objective to generate over $200 million in cash flow. We also delivered on our goal of completing the vast majority of our Sauflon integration activity while continuing to push into 1 Day silicone hydrogel space with clariti and MyDay. I believe we have set the stage nicely for continuing market share gains combined with earnings and cash flow for many years to come. Now, let me touch on three items I want to highlight. First, fiscal fourth quarter was not as strong as we would have liked. We encountered unexpected integration disruptions in Europe along with a weak quarter in the United States. This resulted in slower than expected CooperVision growth including $39 million in daily silicone hydrogel sales, which came in below our expectations. We also experienced significant weakness in our contact lens solutions business. Second, our goal has been to de-risk the Vision business by completing the vast majority of the Sauflon integration activity by the time of this call and we’ve done that both with manufacturing platforms in our operating infrastructure. Third, currency continues to be a significant headwind and this is reflected in our guidance. For fiscal 2013 we are forecasting $0.58 negative impact to earnings per share from currency. This may be larger than many of you expected, but remember that our currencies outside of the euro, the yen and the pound generated significant portion of our revenues and several of them have weakened significantly against the dollar over the past year. On a pro forma basis, we’re guiding to roughly 10% to 14% non-GAAP earnings per share growth. From a revenue perspective of guiding CooperVision to midpoint of 6% constant currency growth, in CooperSurgical to a midpoint of 2.5% pro forma growth. I’ll expand on these as I walk through the quarter performance, but I want to confirm we remain optimistic about the underlying fundamentals of our business and we believe we’re well positioned to deliver solid results in fiscal 2016 and beyond. On a consolidated basis, Q4 revenues declined 3% year-over-year to $456 million in non-GAAP earnings per share or $2 per share up 18% pro forma. For a full year, perspective non-GAAP earnings per share were up 26% pro forma. Regarding revenue CooperVision reported revenues of $373 million down 3% year-over-year, but up 5% in constant currency and up 7% in constant currency excluding solutions. Although solid the results were negatively impacted by three items I mentioned earlier, so let me provide more color. First, consolidation of several Sauflon warehouses into the main European distribution facility resulted in unexpected issues, which reduced service levels from – of the second half of September through October and into November. We managed to ship a lot of product prior to the fiscal year end, but there were significant disruptions during the fourth quarter. We’re shipping product at acceptable fulfillment levels, but it should be noted that some of the financial repercussions from this event will negatively impact Q1. These financial repercussions include customer concessions, which are make whole payments treated as a direct reduction in revenue. These cost have not and will not be excluded from operating – our operating results, as we’re not going to adjust revenue on a non-GAAP basis. Regarding the impact, revenues or earnings I’m not going to estimate these numbers. The second item relates to the U.S. where we had a unexpectedly weak October. Our momentum was good going into the month, so this is very frustrating; J&J released a new one day silicone hydrogel lens including a massive number of fitting sets with aggressive launch discounts, which negatively impacted us. To be fair as optimistic as we were about our daily portfolio the competition is definitely getting tougher and this is a good example. Lastly, our contact lens solutions business was very weak this quarter down 36% in constant currency or roughly $8 million. As we’ve discussed in the past, the contact lens solution industry is experiencing significant pressure from the market move to 1 Day. We’ve been streamlining our focus to strategic accounts as we expect the business to decline just not to this level. We expect the business will stabilize but likely continue to decline with the market. Regarding our other areas of interest we had a strong quarter in Asia-Pacific growing 13% in constant currency. I’m also happy to report. We didn’t see any real channel movement this quarter and noise around UPP or Unilateral Pricing Policy seems to be quieting down as we wait for the court ruling on the Utah Law impacting UPP practices. Looking at silicones, our silicone hydrogel family of products delivered strong growth this quarter up 16% in constant currency to $212 million. Biofinity and Avaira combined to grow 11% in constant currency which was solid. We remain under indexed against the market in both the two-week and monthly silicone space with silicones representing roughly 78% of that market and us at 72%. So we anticipate continuing to grow our two-week and monthly silicones nicely for many years. Regarding one day silicone, sales of clariti and MyDay combined for $39 million in constant currency growth of 48%. For the full year one day silicone totaled $137 million or 45% pro forma growth. We remain very optimistic about our daily silicone hydrogel family of products and are 100% committed to our growth strategy, which includes a two-tiered approach with clariti positioned as our mass-market offering and MyDay as our premium offering. Remember, the contact lens market is being driven by 1 Day growth and we strongly believe we have the best product offering in the space, as the only company with the premium in mass-market lens, including a full portfolio of one day sphere, toric, multifocal, silicone hydrogel lenses. Regarding clariti, manufacturing remains in excellent shape to meet the demand of 2016. From a launch perspective, we’re in good shape in Europe and the product continues growing nicely. In the U.S. sales are ramping and we continue to aggressively launch the product. Regarding MyDay, sales continue to ramp in Europe; and we’re successfully launching the product in the U.S. with very positive feedback. Regarding capacity, we’re continuing to sell everything we can make and we’re bringing on additional lines to help meet demand. As anticipated, MyDay is fitting perfectly into the high-end segment of the silicone hydrogel market. I’m also extremely pleased to announce that we have received regulatory approval for MyDay in Japan. For competitive reasons, I won’t provide details on the timing of our launch, but I do believe this is very nice positive for us in Japan is an extremely large daily market with roughly $750 million in annual sales. Our specialty business remained strong this quarter with torics up 8% and multifocal up 7%, both in constant currency. We’re the global leader in specialty lenses and we are taking market share. Regarding Proclear, sales of the hydrogel product line were down 4% in constant currency, driven by softness in our non-daily Proclear product lines in sales modalities continue shifting to silicones. On a regional basis, the Americas were up 4% in constant currency, led by Biofinity, clariti and MyDay. Even with the integration disruption in Europe we’re 3% in constant currency or 8% excluding solutions. Meanwhile, Asia Pacific was up 13% in constant currency with strong growth in a number of markets. Lastly our manufacturing activity, we made a number of decisions around rightsizing our platform of older hydrogel lines into a corresponding actions with, which included writing off certain lines in accelerating depreciation on others. From an accounting perspective, we expect to incur charges associated with these activities through fiscal 2013 and we’ll highlight these items as they occur. This activity along with ramping up our new UK and Costa Rica manufacturing facilities is all on schedule. Now, let me comment on the overall contact lens market for calendar Q3 and remember most of this information is on the last page of our earnings release. We continue taking share with the market up 8% and CooperVision up 9%, the underlying story sure was the market strength spotted by J&J, which put up strong numbers rebounding from four extremely weak quarters. Given their historical comps, I expect them to post three more quarters of strong growth. So we’ll see the overall market continue to appear robust, having said that, these higher market growth rates are not actual reflection of the market growth. Our market grew 4% on the trailing 12 month basis and I believe the true market growth is currently in the 4% to 6% range. Regionally, the Asia Pacific market was up 6% with CooperVision up 12%, EMEA was up 4% with CooperVision up 10%, and the Americas was up 11% with CooperVision up 6%. If we look at the market on a modality basis, the single used market continued to drive growth up 14%. As you can see our growth remains diverse and strong. Going forward I expect the market to grow 4% to 6% over the next five years and most likely closer to 6%. The drivers continue to be the shift in daily’s geographic expansion and an expansion of the wear base. Pricing has been relatively flat but if we see increases, we would be able to hit 6% or even higher. And I believe we’ll continue taking a market share led by Biofinity and our strong daily portfolio. Moving to CooperSurgical, we have a lot of – we’ve made a lot of progress this quarter and becoming more bullish on the feature of this business. Our fertility business is returning to strength and we have several exciting product launches. On a pro forma basis. CooperSurgical declined 2%, but fertility was up 3% and I believe we’ve turned the corner in that business. We now have a full executive team in place, we’re finishing our work around rationalizing non-CooperSurgical manufactured capital equipment. We also acquired Reprogenetics in August and entered lab services business with IVF genetic testing. Our first quarter with the business was very successful, overall I’m confident. That fertility business is going to drive a lot of growth in the coming years. Our medical device products, which are focused on office and surgical procedures declined, again this quarter down 5%. We made significant progress in this part of the business through just – with several products in the early launch stages. I’m confident that our aggressive focus of these product launches will return this part of the business to positive growth in the very near future. Overall, I expect a much better year of CooperSurgical and I look forward to reporting on this business as it progresses. Now, let me look a little more at guidance. Our fiscal 2016 guidance for CooperVision [indiscernible] 7% constant currency growth. Our CooperSurgical is 1% to 4% pro forma growth. Regarding non-GAAP EPS, we’re guiding to pro forma growth of roughly 10% to 14%, which equates to a non-GAAP range of $7.60 to $7.90. We normally don’t give quarterly guidance, but given the impact of currency on the first quarter. We were going to make an exception. Expect fiscal Q1 consolidated sales of $435 million to $447 million, with CooperVision posting revenues in the $356 million to $366 million range and CooperSurgical in the $79 million to $81 million range. Non-GAAP earnings per share guidance is a $1.52 to $1.62, which is approximately flat to up 5% pro forma. Regarding cash flow we expect around $300 million of adjusted free cash flow for fiscal 2016, which excludes acquisitions and integration expenses, CapEx will be high the first half of the year, but much lower in the back half. Now that the majority of the integration work is completed and the business is getting back to normal generating significant cash flow is incredibly important this year. From a longer term perspective, we’re updating our operating margin target to incorporate many successes. We believe we see over the coming years offset by the negative impact of foreign exchange. We’re now forecasting operating margins to be 27% or higher in 2020. Regarding strategy we continue our successful strategy, which I have frequently articulated in the past. This strategy includes investing in our businesses to take market share by expanding geographically, aggressively rolling out new products and investing in emerging markets. We do all this while keenly focused on delivering solid earnings per share and cash flow, with the focus on delivering strong shareholder returns. Now, before I turn it over to Greg, let me make a few summary comments. Fiscal 2015 represented challenges, but I’m proud of where we stand today. We could argue that we moved too fast integrating Sauflon with the vast majority of the work is behind us and our team is incredibly focused on delivering a strong year. We continue taking share even as competition in the contact lens industry has increased. Our portfolio of products is very strong, and we have an incredibly solid manufacturing base. I also strongly believe we will see CooperSurgical return to growth this year. All this should result in a solid 2016. With that, let me express my appreciation to our employees, our number one asset. Their hard work and dedication to creating value is the backbone of our success. And now, I’ll turn it over to Greg to cover our financial results.
Greg Matz: Thanks, Bob, and good afternoon, everyone. I’m going to focus primarily on our non-GAAP results for the quarter, for a reconciliation to GAAP numbers, please refer to our earnings release. Bob provided an overall summary of our performance, including a review of the market and our revenue picture. So let me start with gross margins. Looking at gross margins, in Q4 the non-GAAP gross margin was 63.9% compared with 63.2% in the prior year. Factors, which impacted our non-GAAP gross margins, were favorable FX impact to cost of goods sold, favorable manufacturing variances and product mix led by Biofinity. And these were offset by a negative FX of foreign currency impact to our revenues. Full year non-GAAP gross margin finished at 63.5%. CooperVision on a non-GAAP basis reported gross margin of 64.3% versus 62.8% in Q4 of last year. The year-over-year increase in non-GAAP gross margin was due to favorable FX on cost of goods sold manufacturing variances in mix, partially offset by unfavorable FX on revenues. CooperSurgical had non-GAAP gross margin of 62.2%, which compares to Q4 2014 of 64.9%. The year-over-year decline in non-GAAP margin is due to the inclusion of Reprogenetics, which has a gross margin in the low 40s and other manufacturing costs. Now looking at operating expenses, SG&A, on a non-GAAP basis, SG&A decreased approximately 2% to $166 million or 36% of revenue in line with the prior year. Looking at R&D, in Q4, R&D on a non-GAAP basis was $16 million or 3.5% of revenue down from 3.7% in the prior year. Looking at depreciation and amortization, in Q4, depreciation was $37 million, up $8.5 million year-over-year, which includes $6.5 million of accelerated depreciation related to the Sauflon acquisition, not included in our non-GAAP numbers. And amortization was $13.1 million, down $900,000. For the year amortization was $51.5 million and depreciation was $139.9 million including $22.7 million of accelerated depreciation excluded from non-GAAP numbers. Moving to operating margins, for Q4 consolidated GAAP operating income and margin were $42.3 million and 9.3% of revenue versus $39.4 million and 8.4% of revenue in Q4 last year. Non-GAAP operating income and margin were $109.2 million and 24% of revenue versus a $108.9 million and 23.3% of revenue for the prior year. For the fiscal year, non-GAAP operating income and margin were $414.5 million and 23.1% of revenue. In Q4, CooperVision’s non-GAAP operating income and margin were $100.2 million and 26.8% of revenue versus $98 million and 25.4% of revenue in the prior year. CSI’s non-GAAP operating income and margin were $20.8 million and 25.3% of revenue, which is Q4 2014 of $22.9 million, operating income at 27.8% of revenue. The primary reason for the year-over-year decline in operating income is due to reduction in gross margin. Interest expense was $4.8 million for the quarter, up $1.5 million year-over-year, primarily due to the acquisition of Sauflon and higher interest rates on our banking pricing grid. The total interest expense in fiscal 2015 was $18.1 million. Looking at the effective tax rate, in Q4, the non-GAAP effective tax rate was 4.3% versus a non-GAAP effective tax rate of 8.7% in Q4 2014. As we’ve mentioned before, the effective tax rate continues to be below the U.S. statutory rate, as the majority of our income is earned in foreign jurisdictions of lower tax rate. The effective tax rate was favorably impacted by lower income due to integration activities. The non-GAAP full year 2015 effective tax rate was 6.6%. Earnings per share, our Q4 earnings per share on a GAAP and non-GAAP basis was $0.75 and $2 respectively, versus $0.63 and $1.95 for GAAP and non-GAAP in the prior year. For the full year, on our EPS on a GAAP and non-GAAP basis was $4.14 and $7.44 respectively. Non-GAAP EPS on a pro forma basis, which is just for constant currency, grew approximately 18% in the quarter and 26% for the year. During Q4, we repurchased approximately 368,000 shares with an average share value of a $139.60 per share, for a total cost of $51.3 million. This leaves approximately $118 available for future share repurchases under the current approved plan. Looking at FX, the net currency impact on earnings per share year-over-year for Q4 was unfavorable by $0.31. The total impact for the year was a $1.76. From a revenue perspective the impact was a reduction of $35 million for Q4 and $153 million for the fiscal year. Looking at the balance sheet, in Q4 we had cash provided by operations of a $104.5 million plus capital expenditures of $58.3 million, resulting in $46.2 million of free cash flow. Excluding integration costs of $14.7 million, adjusted free cash flow was $60.9 million. Total debt increased within the quarter by $42.1 million to $1.350 billion primarily due to the acquisition of Reprogenetics and share repurchases, which were offset by operational cash flow generation are partially offset. Looking at inventories, they increased approximately $13.7 million to $419.7 from last quarter due to an increase in daily lenses. For the quarter, we are seeing 7.5 months on hand, adjusted to exclude inventory and equipment rationalization charges and facility startup costs up from 6.6 months last year and seven adjusted months on hand last year. We’re expecting this to trend down over 2016. Day sales outstanding was at 57 days which is up from 55 days in the prior quarter, up from 53 days last year. We’re also expecting DSO to trend down to more customary levels over 2016. Now, turning to guidance. In order to provide a little more color for your models, I will share some specifics on fiscal 2016 and Q1 2016 non-GAAP guidance. We will continue to incur some Sauflon integration cost as we wrap up the integration work. But it will be much smaller than 2015 and mostly in cost of goods sold after Q1. Regarding foreign exchange, the rates for our main currencies are 1.05 for the euro, 123 for the yen, 1.5 for the pound. With these current rates, we’re expecting a negative year-over-year impact to revenue of approximately $58 million and an unfavorable $0.58 impact on 2016 earnings per share. When looking at the euro, yen and pound, these currencies makeup approximately 75% of our total foreign denominator revenue, which equates to about 40% of our total worldwide revenue. These currencies have an estimated $0.35 impact in 2016 EPS. The remaining currencies have weakened considerably year-over-year and now comprise approximately $0.23 of the negative impact in 2016. For 2016 guidance, the revenue range for the company is $1.834 billion to $1.874 billion, or approximately 4% to 7% pro forma growth. CooperVision’s revenue range is $1.509 billion to $1.539 billion, or 5% to 7% constant currency growth. CooperSurgical’s revenue range is $325 million to $335 million, or 1% to 4% pro forma growth. We expect non-GAAP gross margins to be around 64% with Q1 being a little later aggressively improving over the year. OpEx is expected to be around 40%. Operating margin is expected to be around 24%. Interest expense is expected to be around $21 million. Our effective tax rate is expected to be around 9%. This is higher than 2015, which benefited from some higher discrete releases and integration charges more than we would be experiencing in 2016. Our expected share count would be around 49.2 million shares. Our non-GAAP earnings per share is expected to be in the range is $7.60 to $7.90, which equates to pro forma earnings per share of 10% to 14% growth. CapEx expected to be around $200 million, adjusted free cash flow is expected to be around $300 million. For Q1 2016 guidance, couple of points, the revenue range for the company is $435 million to $447 million or 2% to 5% pro forma growth. CooperVision's revenue range is $356 million to $366 million or 3% to 5% constant currency growth. CooperSurgical revenue range is $79 million to $81 million or 1% to 3% pro forma growth. Non-GAAP earnings per share range is $1.52 to $1.62 or 0% to 5% pro forma growth. With that let me turn it back to Kim for the Q&A session.
Kim Duncan: Operator, we’re ready to open up the call for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Larry Keusch with Raymond James. Your line is open.
Larry Keusch: Thanks. So, Bob, the 5% to 7% growth for CVI for fiscal 2016 maybe you could talk a little bit about how you think that will compare relative to the market growth. And it would seem to me that that would actually be less than you guys have done in the past again relative to the market. So maybe talk about in that answer just sort of the dynamics that you see within your business.
Bob Weiss: So, Larry, you're correct, it's less than we have guided particularly in 2015 and earlier in terms of a multiple. We're estimating the market will be 4% to 6%. So if one were to take the midpoint at five and then compare that to the midpoint of the CooperVision at six that would kind of frame it. In 2015, with a little bit of hindsight we were guiding closer to 3X the market. And the rationale for that was that the prior year we had grown at 2X the market we were bringing on clariti and the Sauflon acquisition and on a pro forma basis expected to accelerate growth. We did put up good numbers that on a quarterly basis, calendar year basis 8% two times the market, but to answer your question, we’re – you can compare the 6% midpoint to the 5% midpoint as we look ahead to 2016.
Larry Keusch: And just any thoughts around single-use silicone hydrogels. How do you think about that for 2016?
Bob Weiss : Well, clearly the silicone hydrogel single-use market is exploding within the 1 Day market. The 1 Day market continues to drive the entire market growth. Once again, this year this would be I think at least for last four years in a row, the 1 Day market was the driver of the market. Having said that, there is as we know increasing activity in the space with J&J now introducing an Oasys one day silicone hydrogel lens more targeted to the premium space. So we continue to expect the expansion of the premium space, we also continue to expect that there will be swapping out of a hydrogel for silicone hydrogel most notably clariti going against Moist and Daily AquaComfort Plus. So that mass market hydrogel space we view clariti is still primed to make good headway there. 
Operator: Thank you. Our next question comes from the line of Chris Pasquale with JP Morgan. Your line is open.
Chris Pasquale: Yes, thanks. I just want to follow-up on the FY 2016 guidance and the 6% midpoint there for CVI and it seems like you’ve got a few things working in your favor as we go in to FY 2016. I understand you are coming off of a tough couple of quarters here, but you'll have a full year of clariti fully rolled out in the U.S., you are going to have a growing contribution from MyDay in the U.S. and now at least the partial year of MyDay in Japan. So it seems like this actually sets up as an above trend year, you guys are not looking at it that way. Can you help us sort of reconcile that beyond the European distributor issues in 1Q? Are there other things that you view as sort of headwinds?
Bob Weiss : We have come off of a quarter with 7% and our fiscal quarter and obviously, there was a fair amount of things going our way. Then, we also were really taken back by October, which relative to how we were trending in August and then into September was noteworthy to us. So are we being – are we approaching it a little differently, perhaps, we’re making the statements that we will continue to gain market share or we gain more than we’re kind of laying out in this map, who knows. But if you look at our track record on revenue in 2015, we have four misses in four quarters. So we just don’t think it’s prudent to be as bullish or whatever term you want to use in our forecasting in 2016.
Operator: Thank you. Our next question comes from the line of Joanne Wuensch with BMO Capital. Your line is open.
Joanne Wuensch: Thank you and good evening. You listed that there are three forces that negatively impacted the quarter and it's rolling into your guidance next year. And is there any way to quantify how much each one of those hit you?
Bob Weiss: We’re not going to get into quantifying those forces but in some cases it would be too speculative. But in terms of looking at 2016 Q1, we mentioned that part and parcel because of the disruption or because of disruption that occurred in Europe we are making some concessions and we clearly now can get into putting much color on that other than to say it's a direct hit on revenue. So that will have the impact of suppressing our underlying growth somewhat. And we will not be calling that out in the sense of traditional call out up since it is impacting the revenue line. So that is one factor that will impact top line growth albeit kind of one time from our perspective meaning going forward. We expect to have more robust delivery. We’re at the point now, we are delivering in Europe. So, on a go forward basis, we feel pretty good about that. But it's still a roll into the first quarter. The other things we talked about lens care, which had a pretty big impact in Europe on the quarter. And we expect that to moderate the overall industry, we do think we will be artificially inflated in 2016 with J&J having easy comps and really the one, the UPP story if you will.
Operator: Thank you. Our next question comes from the line of Matt Mishan with KeyBanc. Your line is open.
Matt Mishan: Great, thank you for taking my questions. I got two, I wanted to squeeze two in here if I could. First, I guess I just wanted to try and understand a little bit, you cited that the competition is one of the reasons why the daily silicone hydrogels kind of fell off in at the end of the quarter. But you also said that MyDay was selling everything it could, which means it was particularly weak I guess in clariti and given that J&J Oasys is in the premium space versus clariti in the mass market space, if you were surprised that you saw that weakness as a result of that. And then the second question is I’m just trying to get a sense with Sauflon, there was three pieces to it when you bought it, I think it was a $190 million sales and about $80 million of that was the clariti piece. What’s left of the other $110 million like what have you rationalized over the course of last year?
Bob Weiss: Well, obviously when we – to take your last question or comment. Of that $195 million, $200 million business that we bought, clearly the one that is captivating the growth is clariti. And clariti relative to this last quarter, while it missed our target still a combination of clariti and MyDay grew 48%. So that silicone hydrogel space, 48% constant currency is good. It obviously isn’t as good as we cited and quite frankly, we didn’t anticipate October going soft in the U.S. and a lot of that softness is a reflection of all the energies at J&J put into the marketplace literally flooding the marketplace. And that Stymied [ph] I think room for any other competitors to do as much as they normally would. As far as the non-one day clariti piece of that acquisition of Sauflon, yes, clearly lens care is dropping off and dropped off much more than we thought. Part of that was probably self inflicted with the disruption in Europe. And we think we have our distribution and pipeline if you will put back together. A lot of lens care happens in Europe. That’s where it's more strategically tied in with key accounts. And so we will continue to have of that available to those strategic accounts recognizing it’s not a growth area and it’s pretty clear that one day is a direct competitor of the lens care industry. But I’m not going to get in to much more color on that and we look at that as a package clariti and MyDay is ramping up nice. Yes, it’s true down the road in 2016 we'll have availability of MyDay in Japan also which is a big one day market.
Operator: Thank you. Our next question comes from the line of Steve Willoughby with Cleveland Research. Your line is open.
Steve Willoughby: Hi good evening and thanks for taking my questions. Bob, I have two for you. First just a follow up question to Larry Keusch's question. And I apologize if you did say this. Within the 5% to 7% CVI growth, how much are you assuming for one day silicone hydrogel revenue in total versus the I believe the $137 million or $139 million, you did this year?
Bob Weiss: I didn't quote it and we’re not going to get ourselves into what we did last year. We started off with a number and then we changed it one time and then finally came in at 136. Our focus is yes, that's going to be a growth area but we’re not going to put up the target we're shooting for.
Steve Willoughby: Okay and then secondly, I know a lot of times in the fourth quarter for companies they will look at potential impairment charges and I was wondering if that consideration has happened at all yet given the Sauflon business seeming to underperform both initial and most recently revised expectations.
Bob Weiss: So relative to Sauflon overall has done exceedingly well from what it’s done for the Company and what it’s done for the bottom line. Were it not for foreign exchange as I pointed out, we had 26% pro forma earnings per share growth. So great on the bottom line we grew 2X the market, great on the top line. It really is more about our – the targets we set than it was about the performance we delivered. In other words no one would be complaining today if we were to report basically $9.20 in earnings per share this past year, which is what we would have reported, as we had the same rates as we did in 2014. No one would be complaining on that front. They’d see the 26%, so we're actually jazzed about everything about the acquisition. It’s done exceedingly well on many fronts and we've frequently talked about just how good the costs are coming down in the production cycle and how good the ramp up is. So from an impairment perspective nothing to talk about but having said that we did take rationalization charges we did make some decisions on which products stay and which products go or which platforms we’re accelerating and which ones we’re decelerating. And clearly, I think in Greg's commentary, was referenced to some of the non-recurring call outs that are part of that integration process we always anticipated.
Operator: Thank you. Our next question comes from the line of Matthew OBrien with Piper Jaffray. Your line is open.
Matthew OBrien: Good afternoon. Thank you so much for taking the question. Just to follow-up a little bit more, Bob on the Daily side high softness in the quarter, you had as guided to $52 million to $57 million for Q4 midpoint is $55 million, you are $60 million short there. I’m just – I’m trying to tease out how much of that, what’s the majority shortfall was in the quarter, was it the integration issue which seems transitory, or was it the Americas shortfall with J&J hitting the market. And the reason I ask that is that’s supposed to be a big growth driver for you going forward can daily [indiscernible] grow double-digit teens or even 20% in 2016.
Bob Weiss: Well. I think we’ve put enough color on our outlook for 2016 to say we’re bullish that daily silicon hydrogels are doing well and probably will accelerate more, so than decelerate as a growth driver. And said another way it grew I think 46% this past year, the single use silicone hydrogels over the prior year and 48% this past quarter, so there’s modest acceleration, but clearly not as much as we expected. When it comes to the topline shortfall, I would say it’s a combination of three factors, all of which are about one-third, one-third, one-third¸ roughly. The U.S. and the discussion about the J&J rollout impacting the marketplace is about one-third, one-third have to deal with silicon hydrogel, I’m sorry with lens care drop off we talked about a substantial drop off 36% in our lens care business in the fourth quarter. And then the third piece was some of the damage are residual fuel in Europe and the integration disruption. Those three are the composite of the $20-ish million drop off versus guidance, so about one-third, one-third, one-third. As far as outlook for silicone hydrogel one day, we’re bullish, but we’re not going to say that the we’re still bullish it’s going to drive our expectation, we’re going to go 3x the market as was the guidance with hindsight that we put up in 2015.
Operator: Thank you. Our next question comes from the line of Larry Biegelsen with Wells Fargo. Your line is open.
Larry Biegelsen: Hi, guys thanks for taking the question. Bob, on the last call you talked about August getting off to a strong start so can you help us out that the weakness in October, continue into November. And is there any plan to sell the solutions business and I do have a follow up on MyDay, if that's okay. Thanks.
Bob Weiss: Okay, well, you're right. August was a good month and things dropped off in October a lot, particularly in the U.S. and some of the problems we ran into in Europe exacerbated the most. We thought we’re in pretty good shape in early September, found out we weren't in as good shape as we thought by mid-September and had a bumpy ride with our integration if you will in Europe, from mid September until pretty much the end of November. Having said that, we had what we call a very respectable November that is built into our first quarter guidance, as well as our fiscal year guidance. And the fact that we now have our system back to where it belongs in terms of service to our customers, not that we’ll always be happy where we are, but it's clearly back to where it was when we started the integration in Europe. So we're happy about that. As far as solutions, we spent a good chunk of time last year evaluating our options on the lens care business, would we be a buyer, would we be a seller, what would we do. And look at our lens care relative to how it ties in with the lens portfolio. And particularly key accounts that’s concluded that we are a holder on it. We're not going to try it; we're certainly not going to invest in a big way. We are going to service our key accounts. And I might add it's a pretty efficient process particularly where you get into those areas in the world where there's a tie-in of lens and lens care and a direct-to-consumer and are number of countries where that is the case. So it's strategic albeit we're still trying to hamper its growth by succeeding in 1 Day. [indiscernible].
Larry Biegelsen: Thanks for that. On MyDay, the approval in Japan has obviously a positive development for you guys being the largest daily market in the world I believe. And so I'm trying to understand maybe the product – the MyDay production capacity as you go through 2016. The gross margin on that. I think you’re supposed to end this year, I think in the mid-to-high teens, if I’m not mistaken. So where do you expect to be as a margins for MyDay. Can you give us an update on the production capacity and I assume that’s the reason you are just not launching right away in such a big market. Thanks for taking the questions.
Bob Weiss: Yes. MyDay is ramping up very nicely. I think I might have missed on the last call that we doubled our capacity between from six months earlier. So there is a nice ramp up and that ramp up translates to cost of goods coming down. So there is good improvement on gross margins, albeit we still have a long way to go and we have a lot of startup lines and any time we get into a startup line kind of take a step back with the startup cost. And by the way that is a continual – continuous drag on some of our gross margins, as we add new lines as opposed to cutting it off where we are. We do step back and put a little drag on our MyDay gross margin and our overall gross margin. It’s just the way it is for now. But net - net we’re happy with the progress we’ve made on improving yields, yields obviously mean as you improve yields, it’s a 100% gross margin on that improvement, because if you’re getting 20% or 30% more units of the same line. It costs you just as much instead of throwing them in the garbage can, you’re getting to keep them. So that’s a very positive direction and adds to the throughput as well as bringing the cost down. But having said that, we are still capacity constrained and therefore, how and when we will approach. Japan is still to be determined in our mind in terms of sharpening the pencil and where we are going to go and how we’re going to go. And we are not going to get a lot more granular on our overall strategy with it.
Operator: Thank you. Our next question comes from the line of Brian Weinstein with William Blair. Your line is open.
Brian Weinstein: Hi, thanks for taking the question. I’ve heard you talk a lot about kind of what growth rates and what they are going to look like next year, but I’m still not totally sure about how you guys strategically are prepared to respond to the tougher competitive market with J&J flooding the marketplace. What are the steps that you guys can proactively take or how does your strategy change to respond to what J&J is doing in the marketplace? 
Bob Weiss: Well. In some respects they’re helping us. I don’t want to say it’s all bad news. Where J&J is coming into with Oasys one day, which again is silicone hydrogel lens going after primarily total launch they are trying to keep a wall between Oasys one day and Moist because they have too much to lose. So there are two separate markets. It's true that Oasys one day is in the same part as it is MyDay, but in the area MyDay we like our product, we think it can go ahead with total one, which is an excellent product. And so now there are three lenses fighting that battle there, we are still capacity constrained. So it will be a while before we're butting heads against what do we sell the next product we make we're not near that point at this juncture. Obviously have the alternative of go to Japan, with MyDay figures and will go to the U.S. although it’s kind of trade-offs. Relative to the other half of the part in the one day space for the big part of the market called the mass market. That is still moist and moist is what clariti is about the one thing that clariti has in the one day space and it's the only one that has half of it is a one day silicone hydrogel, toric, sphere, and multifocal. Well it's the only show in town and there – and we have an immensely favorable cost structure. So we're feeling real good about our ability to address the mass market. In the one day space with the silicone hydrogel products, you already know in the FRP market, the frequent replacement market, the two week market and the monthly market is 78% silicone hydrogel. Doctors suffered for 10 years from Johnson & Johnson, from Alpine, and from Bausch & Lomb how important our position, how important silicone hydrogel is. That story hasn't gone away. Nothing has changed, doctors just don't forget that oxygen is important because they are selling a one day lens. The fact of the matter is one day lens is worn for X. amount hours I’d say 14 hours. A 30 day lens or a two week lens is what is worn for the same length of time. So there's no distinction whatsoever, between the importance of oxygen in the one day market or the two week market or the month end market. That may not be understood by many. But the doctors and the healthcare professionals get it and understand it.
Operator: Thank you our next question comes from the line Anthony Petrone with Jefferies. Your line is open.
Anthony Petrone: Great, thanks for taking the questions. A couple just on the overall U.S. [indiscernible] in the quarter and I guess specifically around multifocals and that was also lighter than expected. So with J&J’s push is there sort of the halo effect beyond dailies into other modalities. That would be the first question. And the second question is just on the slower rollout of clariti and MyDay and totality. Does that have an impact on the 2016 operating margin outlook of 26% just given that those two are operating margin accretive. Thanks.
Bob Weiss: First of all, I think you said operating margin of 26%. I’m looking at Greg right now.
Anthony Petrone: By fiscal 2018.
Bob Weiss: So 2018, I’m sorry.
Anthony Petrone: The longer-term outlook.
Bob Weiss: Okay, got it, got it. In my commentary I mentioned that we’ve up to 26% to 27%, but that’s five years out, 2020.
Anthony Petrone: Okay.
Bob Weiss: So we’re still directionally headed where we are headed on that front. Was there a halo effect with the J&J strategy? Absolutely. There was considerable tie in their marketing approach. And let’s call it arm twisting on the marketing approach that clearly has some halo effect on some of their other products. So it was not only the pipeline sale in the one day silicone hydrogel space that was the event, but there was some pull even in the two week space, which is the space that is declining in total. As far as MyDay and clariti and that rollout, no, I don’t think there’s anything one way or the other that needs in terms of directionally our operating performance targets. multifocal – I’m sorry operator. Multifocals just to comment on that we had a reasonably good quarter on multifocal at 7% or 8%, I think it was and while it’s true that, that growth would have been better had we had a more robust U.S. and a more or less of disruption than we had in Europe, it would have resulted in better numbers in that area also. Go ahead, Operator. 
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Jeff Johnson with Robert Baird. Your line is open.
Jeff Johnson: Hi, thanks guys. Good evening. Just couple of questions here for me. One, just Bob on the European integration issues, can you give us a little color there just kind of, I guess my sense would be Sauflon relatively small compared to your bigger operations. What is that that can trip you up so much that lasts a month and a half and shaves maybe seven days million in revenue often. And any color on the concessions that, I know you don't want to quantify and I'm not asking you to quantify and but why are you happened to give some revenue back to the customers themselves. What's that – what form is that taking?
Bob Weiss: Yes, plain and simple, if you integrate your products with key accounts and you're used to getting the product on time and particularly if it's direct-to-consumer and I'm talking about big change, the change in Europe or big part of what Europe is about. And all of a sudden you throw on that back order, and backlog it's not a pretty situation. So in some cases it directly interfaces with their customers. So rest assured we were fully appreciative to what the disruption meant to their franchise in their business. And took every step humanly possible to an including [indiscernible] as we could at it to fix it as soon as we could. Part of the complexity is when you shutdown bunch of locations that are throughout Europe in different countries put them in one country, you obviously put a burden on yourself to be able, let's say it we a Germany for example, and I shutdown Germany and integrate it to Belgium. And then I can't go to the customer and say I can get it to you two days later now because I did some for my benefit. So all that activity doesn't matter if it's the CooperVision products or the Sauflon products quite frankly they don’t care, back orders to back order, the concessions are basically a reflection on dialogue with some of those customers as you go through how to reasonably address the wounds.
Operator: Thank you. Our next question comes from the line of Jon Block with Stifel. Your line is open.
Jon Block: Great, thanks guys. I'm going trying to slip in 1.5. I guess, just to start with the EPS guidance. You put out some parameters on EPS of low to mid-teen 2016 EPS growth last quarter. Now you look at it as sort of low to maybe mid single-digit growth, I get it, I mean FX hasn’t incremental headwind I’ve got maybe $0.35 to $0.40 but not the $0.80 that it implies. So Greg or Bob can you talk about what got so much worse on the operations relative to three months ago. And then the second question and has been a bunch of questions on market share, but you are guiding CVI of six, market of five so it implies call at 1.2x. In the past you’ve been around maybe 1.8x, just importantly Bob when you look at your portfolio of lenses is this a new normal 1.2 or when you look out should the share gains accelerate as you get through some of these issues in 2017 and beyond. Thank you.
Bob Weiss: First on the EPS guidance is the low-to-mid teens going to the 10 to 14. So we are still saying low single – low-double digit to teens in the 10 to 14. With respect I think you’re saying your model does not get to the $0.58 in foreign exchange or rest assured and Greg could add to it here that $0.58 is what the implications are of the currencies moving forward from 2015 to where we are today on those exchange rates. Not only the pound, the yen, and the euro, but also the other currencies that Greg alluded to. From a market share perspective, yes, you’re right, Historically, we’ve grown more like 2x the market the last five, six years, seven years. And we’re moving the guidance if you will from 2x the market in 2015, fiscal year 2015 to 1.25. A little of that is the concessions not much. A little of that is some of the disruption that is now occurring surrounding the J&J rollout in the U.S., a little of that is the disruption in the European either with the integration. And in fact of the matter is if we removed all those with the 1.25 guidance go way up from there. No, we probably still be guiding to 5 to 7 for us and 4 to 6 of the marketplace. Not because anything has changed and I think you heard me mention that, it could be that the market is at the higher end of that given the easy comps with competitors like J&J. But in fact that they have easy comps only means the market is a little bit more robust perhaps than it is underlying that and it doesn’t change what we should get independent of that. 
Operator: Thank you. That concludes the Q&A session. I’d like to turn the call back to Bob Weiss for closing remarks.
Bob Weiss: Well, I want to thank you everyone for joining us today. Obviously, I wish I had a lot more stellar things to say about this last quarter. But all of just reiterate we think we did a lot of things in the integration right, very optimistic about our way forward for not only 2016, but many years to come we think we have the right products and the right strategy. And we respect the competition not to diminish the work they’re doing. So we look forward to updating you, I believe March 3 is our next update and we're looking forward to it. Thank you.